Louisa Page Rodriguez: Good morning. Thank you for joining us today for our Second Quarter 2022 Conference Call and webcast. I hope this call finds you and your family in good health. I am joined today by Fernando Gonzalez, our CEO and Maher Al-Haffar, our CFO. As always, we will spend a few minutes reviewing the business and then, we will be happy to take your questions.  I will now hand it over to Fernando.
Fernando Gonzalez: Thanks Lucy and good day to everyone. The #1 challenge facing our industry at the beginning of this year was pricing and I'm quite pleased with our pricing response. Pricing for our products rose between 12% and 16%. As of second quarter, our pricing strategy has fully offset inflationary costs in dollar terms. We are now focused on the second phase of our strategy to recover 2021 margins. Despite significant macro volatility, our EMEA region demonstrated exceptional resiliency with a 17% EBITDA growth year-to-date. The Urbanization Solutions business continues to grow rapidly. While we are showing important success in our climate action target, we continue broadening and aligning our sustainability goals across our business.  With regards to financial metrics, Fitch upgraded our credit rating to BB+, one notch away from our goal of an investment grade rating. Our return on capital currently at 13% continues to improve growth strategy with an acceleration in project approvals. And finally, we are embarking on the next stage of our CEMEX Go journey to evolve into a fully automated digital customer experience, the first in the industry. From the beginning of this year, we expected pricing rather than volumes to drive growth. EBITDA growth was expected to be primarily in the second half as we move out beyond the difficult first half 2021 comps that does not incorporate the surge in cost inflation since third quarter 2021. This quarter was expected to be the most difficult second quarter 2021 EBITDA representing the highest since 2007 and highest margin since 2018. So far, the year is playing out in line with those expectations. Strong growth in sales reflects a significant pricing contribution. Our pricing initiatives designed to recover 2021 margins is showing important traction with prices of our core products up double digits. Higher energy distribution, maintenance and import costs explain the reduction in EBITDA and margins. Free cash flow declined due to higher maintenance, CapEx spending and working capital. Consolidated cement volumes declined driven largely by Mexico. Volume performance in Mexico and SCAC reflects the normalization of bagged cement demand as we move out from the home improvement wave of the pandemic. The strength of ready-mix and aggregates in this market speaks to the growing formal sector demand and bagged cement rebalances. While demand remains vibrant in the U.S., our volumes were impacted by numerous supply chain issues. Finally, as expected, we have seen a slight slowdown in construction activity in Europe. Lucy will go into more detail. With the worst inflation headwinds since the '80s, consolidated prices are up double digits. Pricing traction is across all regions with cement pricing rising between 11% and 26%. Cement prices rose 7% sequentially, reflecting second quarter pricing actions. We are in the process of implementing additional price increases across our portfolio. Pricing, however, is not the only lever, and we'll remain focused on managing costs with our energy diversification, supply chain and climate action strategies. The decline in EBITDA is largely explained by cement volumes. Pricing was the strongest lever of growth and was able to more than offset total cost increases. We experienced $21 million headwind in FX, mainly due to depreciation of European currencies. With a difficult prior year comp, consolidated margins declined 3.4 percentage points. Inflationary pressures began in the second half of 2021 with rising energy prices largely impacting the cement business. We quickly adjusted our pricing strategy to take into account escalating input costs. The strategy is effective. Across all 3 businesses, we have been successful in recovering inflation year-to-date. The goal, however, is to recover 2021 margins, and we still have work to do. With additional pricing actions, less scheduled maintenance and apparent inflection point in energy cost and some supply chain improvements, I'm confident we will make progress in recovering 2021 margins in the second half. We continue optimizing our portfolio for growth, focusing on our core businesses in the developed markets in which we operate. We are working to close the sale of Costa Rica and El Salvador in third quarter. We announced earlier this week our partnership with a private equity firm, Advent, in our digital accelerator company, Neoris. This transaction will further strengthen our leadership in the industry digital transformation. Our pipeline of bolt-on and margin enhancement projects continued to expand. We recently acquired a majority stake in a German aggregates company, which will contribute important growth to our aggregate business while serving as a platform for our waste management vertical in our organization solutions business. Our organization solutions business organized around 4 verticals is a key element of our growth strategy. The business has been growing rapidly and now accounts for 8% of consolidated EBITDA. We expect continued expansion as we offer a wide array of complementary products and solutions to build a sustainable and resilient cities of the future. Our Vertua brand of lower carbon products continues gaining traction with our customers. From a commercial standpoint, we are evolving the Vertua umbrella to include all products with sustainable attributes such as design optimization, energy efficiency, water conservation and recycled materials. We will provide more color at our November Capital Markets Day. Again, this year, we are advancing on our climate action goals with a 3% CO2 emissions reduction in the first half, driven by record levels of alternative usage and clinker factor. With a participation rate reaching 33%, alternative fuels are fast becoming our primary fuel source. Importantly, the world benefits from our industry's ability to co-process waste. By reducing the amount of society's waste going to landfills with significant maintained emissions as well as substituting for fossil fuel usage, we are contributing to a transition to a more sustainable planet. Our European operations continue its leadership in climate action, achieving a 40% emission reduction, our consolidated 2030 target, 8 years ahead of schedule. Europe is not alone, however; 8 of our plants representing 20% of cement production are already operating at emissions levels below our 2030 volts, and half of these plants are outside of Europe. We are expanding our 2030 targets to include Scope 3 emissions and a new circular economy target for managed waste. We continue aligning our sustainability efforts throughout our operations with climate action goals now factored in the variable compensation of more than 4,500 executives. Our green financing framework launched in the quarter is an important step in reaching our 2025 goal of 50% of our debt linked to sustainability. Finally, I want to highlight the progress that we are making in innovation due to our 2050 net zero target. For example, we recently announced a collaboration with Coolbrook to develop a technology to electrify our kiln heating process. In 2017, we launched CEMEX Go, the first and only global digital platform in the industry to cover the full customer journey. CEMEX Go has been quite successful in adoption, now processing over 60% of our global sales and covering cement, ready-mix and aggregates. Our leadership with CEMEX Go also give us an enormous amount of data, which we can put to good use in delivering an even better customer experience. While CEMEX Go encompasses our commercial offerings, our digital journey also includes production and management processes. Neoris has been a key factor in our success. The recently announced sale of our majority stake will allow us to continue leveraging the expertise of Neoris while providing the company with the capital to grow the business rapidly. Our digital journey is far from over. We intend to go even further to the next level of digital experience for our customers with the goal of 100% automation and adoption fully digital with real-time supply chain integration. This means that every production facility, truck, operator, dispatch center and salesperson share real-time information on product and logistics availability, providing accurate and real-time commercial alternatives to our customers. Neoris will be an important partner in this initiative. In the construction ecosystem where multiple actors participate, delays are endemic and time is of the essence, a fully automated digital customer experience is essential. We intend to be the first in the industry to achieve this. And now back to you, Lucy.
Louisa Page Rodriguez: Thank you, Fernando. In Mexico, net sales grew on the back of double-digit pricing increases in ready-mix and aggregates volume growth. Cement volume performance largely reflects a difficult prior year comparison. Bagged cement, the majority of demand in Mexico reached the highest level in a decade in the second quarter of 2021, driven by pandemic-related home improvement and government social spending ahead of the midterm elections. Since that time, cement volumes have declined, driven by a normalization in bagged cement while bulk product grows. With much of this adjustment process now behind us and bagged cement at pre-pandemic levels, we expect volume comparisons to ease in the second half.  To illustrate, second quarter average daily cement volumes are roughly the same level as second half 2021. Volumes continue to be driven by the industrial sector with the build-out of electronics and furniture manufacturing in the northern states. The commercial sector is also improved supported by hotel construction as the country embraces an influx of tourists. The decline in EBITDA and margin largely reflects cement volume decline, continued energy cost pressure, supply chain disruptions and product mix effect. We encountered significant rail disruptions in the quarter, causing a shift from rail to more expensive truck transport and reducing our exports to the U.S. We expect some improvement in supply chain in the second half, while we continue to implement our pricing and cost containment initiatives. We have announced double-digit price increases effective July 1. Our Urbanization Solutions business continues to expand on the back of our waste management, admixtures and Consturama Supply operations. Year-to-date, we co-processed 250,000 tonnes of waste, equivalent to 15% of the waste produced by Mexico City for that period and reached a record alternative fuel usage of 33.6% in the quarter. Finally, while our export levels were disruptive in the quarter, a sold-out U.S. market not only allows us to support the needs of our U.S. business in cost-effective manner, but also to maintain a capacity utilization in Mexico. Before we [indiscernible], our U.S. business was challenged by supply chain disruptions in the quarter amidst strong demand, with most markets sold out and on allocation. To our customers, we are working hard to resolve these disruptions as fast as possible. We understand that our inability to deliver cement in a timely manner creates significant bottlenecks in Europe construction projects, and we strive to be a reliable and consistent partner. So now let's discuss the quarter. Growth in ready-mix and aggregate volumes strengthened demand in our markets. The [indiscernible] decline in cement volume is a consequence of low inventory after quarters of sold out domestic production, heavy maintenance, imports and supplier disruptions. Delays in imports well due to rail issues in Mexico and the U.S., the Ukraine war as well as the Chinese COVID lockdown. And Mexico continues to grow, driven by the industrial and commercial and residential sectors. Our visible order book is strong, and we have secured additional sources of imports for the back half of the year. On the pricing side, our U.S. operations look very successful, achieving double-digit pricing growth for our products. Strong sequential price growth is evidence of April price increase traction. However, price increases has still not been sufficient to cover the unprecedented level of input cost inflation. This had significant consequences for our profitability. Supply chain issues resulted in late delivery of spare parts, delaying much of first quarter planned maintenance to the second quarter. Maintenance days rose significantly, with over half of our scheduled 2022 maintenance occurring in the second quarter. Input cost and volumes increased materially. Logistics costs also rose. And of course, energy costs were a major headwind. With 80% of our scheduled shutdowns in the first half and less pressure on supply chain, we are confident that margins should improve. We remain optimistic of the U.S. outlook with little evidence of softening residential demand currently in our markets, although we recognize this as a risk for 2023. The industrial and commercial sector shows important growth due to onshoring of manufacturing activity. We expect this to be a multiyear phenomenon that will drive volumes. Finally, for infrastructure. The new Infrastructure Investment and Jobs Act should yield incremental demand as we head into 2023. We believe the challenge for the U.S. business remains on the supply side in 2023. Despite significant macro volatility, our EMEA region stands out for its resiliency year-to-date, benefiting from its consolidated vertical footprint, diversified businesses and its leadership in alternative fuels and renewable energy. Top line growth was driven by double-digit price increases and a growing urbanization emissions business. Volumes were flattish, reflecting the softness in certain European markets, holidays in Egypt as well as bad weather in the construction contract band in the run-up to election in the Philippines. Second quarter price increases showed strong traction with cement prices rising 11% sequentially. We are currently rolling out additional increases in select markets. Despite EBITDA growth, margins declined due to energy and transportation costs as well as lower volumes. As Fernando mentioned, our European region achieved an important decarbonization milestone, reaching a 40% reduction, our global target for 2030 in the quarter. Europe is well on its way to reach its regional goal of a 55% reduction by 2030. An important lever in the decarbonization effort and one supported by the EU circular economy construct is alternative fuels. It is also an important factor in our European business resiliency story with alternative fuel usage reaching 70% in the quarter among the highest in the industry. And there is still more we can do. We inaugurated our Climafuel facility at our U.K. plant, which will allow us to fully replace fossil fuels with alternate fuels under normal operations. With this latest investment, the EMEA region is expected to process rates equivalent to the annual residue of the city, the size of Madrid. In this quarter, we have seen some evidence of softening demand in Europe. We recognize we can see some weakness in private sector demand, but we believe that infrastructure spending in the form of the renovation -- energy transition, defense spending and other investments should support volumes. Moving on to the rest of the region. In the Philippines, cement volumes declined 11%, while sequential prices increased 3%, the fifth consecutive quarter of improvement. For more information, please see our CHP quarterly earnings, which will be available this evening. In Israel, construction activity remains strong with ready-mix and aggregate volumes and sequential prices growing mid-single digits. Finally, in Egypt, we continue to see strong EBITDA growth, driven by the industry rationalization plan last year. Net sales in South Central America and the Caribbean grew double digit, driven by cement prices. We continued to experience the recovery of the formal sector, supported by a pickup in tourism and housing, while bagged cement volumes return to more normalized levels. The decline in EBITDA was largely due to higher energy and maintenance cost and lower cement. In Colombia, as a result of our pricing strategy, cement volumes declined 6%, while cement prices increased 8%. Construction activity is supported by the rollout of infrastructure projects and formal ounces. The outlook remains favorable with ongoing work on 4G projects, infrastructure projects in Bogota and formal housing activity. In the Dominican Republic, a 4% decline in volumes reflects bagged cement dynamics, while cement prices increased 17%. The formal sector continues to grow, led by tourism, formal housing and the initiation of large infrastructure projects. Our Panama operation has become a regional hub with exports almost doubling year-to-date, reducing our reliance on third-party cement suppliers while increasing our regional operating leverage. With high shipping costs in a largely sold-out region, our logistics network, coupled with our cement capacity additions should be an important competitive advantage. I invite you to review CLH's quarterly results, which were also published today. And now I will pass the call to Maher to review our financial development.
Maher Al-Haffar: Thank you, Lucy, and good day to everyone. As Fernando mentioned, we are pleased with our strong pricing traction, which accelerated during the second quarter and more than compensated for inflation. We remain committed to fully recovering our 2021 margins. We had positive free cash flow after maintenance CapEx in the quarter, but lower than last year due to working capital and maintenance CapEx. Investments in working capital increased due to higher sales and inventory as markets continue to face supply chain bottlenecks. I would like to highlight that our working capital cycle is seasonal and investments in the first half of the year typically turn around during the second half. The increase in maintenance CapEx relates primarily to the delayed delivery of mobile equipment due to supply chain disruptions. During the quarter, we generated net income of $265 million, down 2% versus the prior year. Our return on capital employed for the last 12 months stood at 13.2%, excluding goodwill, well above our cost of capital.  In light of recent market volatility, I would like to do a recap of the key aspects of our financial strategy. First, with no relevant debt maturities before 2025, there's no need to tap the debt capital markets anytime soon. We have, however, taken advantage of this volatility to execute accretive transactions such as tendering for our bonds and buying back our shares. Second, we have very limited exposure to rising interest rates with approximately 81% of our debt at fixed rates. The remaining floating is primarily exposed to euro rates with substantially lower base rates than U.S. dollars. We are well positioned to mitigate that associated with currency fluctuations in most of our non-U.S. dollar markets as well as protecting our interest expense from rising rates. We had a negative EBITDA impact of $21 million year-to-date from currency fluctuations, primarily from the depreciation of the euro. The figures impact has been offset by a positive translation effect on our debt as well as gains in our debt derivatives totaling more than $130 million. Additionally, we generated gains of over $100 million year-to-date in our remaining derivatives portfolio, mainly related to our energy hedges. And lastly, our leverage ratio stood at 2.88x, that is 0.17x higher than December 2021, driven by the usual negative free cash flow in the first half of the year. We expect our leverage ratio to decline in the back half of the year as we generate free cash flow. We will continue to be prudent in our financial strategy, maintaining an adequate risk profile consistent with an investment-grade capital structure and a bias for debt reduction and further strengthening of our balance sheet. On that note, I would like to highlight that last month, Fitch upgraded CEMEX's credit rating to BB+ with stable outlook, one notch below investment grade, citing solid operating results and our debt reduction efforts. We remain committed to regaining our investment-grade status. We continue to align our capital structure to our sustainability goals. Last month, we published our green financing framework, a first of its kind in the building materials sector, which will allow us to issue financing instruments under the green bonds and green loan principles. Net proceeds from any financing under this new framework would be utilized to fund the taxonomy compliance investments in areas such as CO2 emission reductions, clean electricity, circular economy and waste management, among others. We have identified projects worth over $500 million that meet these criteria. These projects are not only aligned with our Climate Action goals, but they are also profitable. The framework reflects the roadmap and objectives of future in action, our Climate Action program, and have an investment time line from 2021 to 2025. Sustainalytics, a global leader in ESG research and analysis provides a second-party opinion under the framework, confirming that our efforts are credible, impactful and aligned to international principles. This new framework together with our sustainability-linked financing framework published last year, provide the basis to meet our goal of linking 50% of our debt to our sustainability goals by 2025 and 85% by 2030. And now back to you, Fernando.
Fernando Gonzalez: Our performance so far is in line with our expectations at the beginning of the year. And while things have gone as expected, we must acknowledge increased downside risk amidst rising economic uncertainties. Therefore, we are adjusting our EBITDA guidance from mid-single-digit growth to low to mid-single-digit growth. While the outlook for fuels is improving, we are maintaining our energy guidance. We now expect maintenance CapEx to increase by $100 million to $800 million, with anticipated total CapEx of $1.3 billion. We have slightly increased our working capital investment guidance to $200 million. While it may take longer than we initially anticipated with our pricing and cost containment strategies, we are confident we can recover 2021 margins.  And now back to you, Lucy.
Louisa Page Rodriguez: Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases and decreases with further prices for our products.  And now we will be happy to take your questions.
A - Louisa Page Rodriguez: [Operator Instructions]. And our first question comes from Ben Theurer from Barclays. Ben?
Benjamin Theurer: Let me get this into one question. So we saw the step-up in maintenance and you've raised the guidance on maintenance, and I think you've talked about the acceleration of maintenance in the U.S. Is that what's been driving the SG&A cost up so much in the quarter? And is that really more of a one-time thing? And how should we think conceptually about the maintenance needs given the demand environment and being sold out and how that all puts into a framework of a potential recession in the U.S.? So just about the timing and the needs for maintenance in the current environment? That would be my question.
Fernando Gonzalez: Sure. Ben, let me comment that in the case of the U.S., there are impacts related to energy that are similar to any other geographies, same reasons and that impact will continue happening the same way it's happening all over the company. But there are 2 other reasons why costs were higher during the second quarter or during the second half, mainly second quarter. One has to do with maintenance. In the case of maintenance, there were some maintenance expenses that were carry-forward from last year. And on top of that, there were some delays in shutdowns program for the first quarter, and those were delays to the second quarter.  So we had, on the one hand, more maintenance expenses because of those delays. The shutdowns were really some of the shutdowns were really needed for the first quarter but it happened in the second quarter. And they were delayed mainly because of supply chain issues, meaning not getting all the parts needed for those shutdowns. So maintenance was a specific issue in the case of the U.S. And what you can expect is that it's not going to be repeated in the second half. By the way, maintenance in the U.S. in the second half should be much lower because around 80% of all annual shutdowns have been already done. So maintenance is not a repetitive -- is not going to be a repetitive impact for the rest of the year. And the other issue is also specific to our import sourcing. We are importing about 30% of cement that we are selling in the U.S. Most of it is Maritime transportation. So we do have some -- we did have some delays in those imports as well as some supply chain constraints in our exports from the [indiscernible] plant in Sonora to the U.S. as well as an impact in locally produced cement because of the maintenance work that were done during the second half. So those impacts because of volume constraints, we are not expecting for those to happen during the second half. So in summary, energy will continue about the same pace. We've seen some reduction in the prices of pet coke. But that is a phenomenon that is happening everywhere. And maintenance and imports, we can consider those as a very specific and one-off type of impact.
Louisa Page Rodriguez: And the next question comes from Gordon Lee from BTG Pactual.
Gordon Lee: Just one question on the outlook for price increases, specifically with the sort of concerns around recession escalating, bad macro data out of the U.S., how concerned are you that you'll start seeing more pushbacks from customers, particularly in the U.S. and Europe where you've got less reliance on bagged cement. And that your ability to drive the normalization of the EBITDA margin via prices is sort of compromised by that more difficult macro environment? How big of a concern is that for you at this point?
Fernando Gonzalez: Thanks for the question. It's not a big concern for us. I mean, we still see strong order books. We understand there are certain segments in certain markets softening or about to soften, but that has not been an issue. It was not an issue at all in the first half. We are already executing our second half pricing strategy, and we don't see any major impact because of that concern on a reserve type of scenario, reducing volumes. So, so far, so good, and we do expect the same performance or the same success in pricing execution for the rest of the year.
Louisa Page Rodriguez: Maher did you want to add something?
Maher Al-Haffar: Yes I just wanted to say that in the case of the U.S., Gordon, I mean, don't forget that imports are quite an important element. And even if there is some softness in demand as we go forward, there is that very sizable buffer that has accumulated. I mean right now, all markets are sold out, and we're having to import and people generally are short, some markets are in allocation. So I think the pricing environment going forward into the rest of -- certainly into the rest of the year and into -- I don't want to speculate into '23, but we think the supply-demand dynamics are quite favorable.
Louisa Page Rodriguez: And the next question comes from the webcast from Paul Roger, BNP Paribas. It's a 2-part question. The first is, can you talk more about the green incentives for managers? What level of seniority do they apply to and what proportion of their variable compensation can be affected by sustainability performance? The second part of the question is how is the margin profile on Vertua concrete compared to OPC? And is the product sufficiently unique for any advantage to be whittled away as others start to roll out green offerings?
Fernando Gonzalez: Sure. Thanks for the question. As I mentioned, the modified CO2 consideration in variable compensation, I think, is very relevant. It's impacting either positively or negatively our top and middle management in the company is 4,500 people, executives and technicians related to CO2 issues. And the way it's designed, it's a modifier of a base, and it can modify as much as 20% the compensation received by an executive meeting, it can increase by 10% or it can reduce by 10%. And as you can imagine, this is one of the elements that we are putting in place in our transition towards a low CO2 economy. And even though we are at early stages having implementing this very recently, it is working very well. Fortunately, the modifier is working on the plus side, meaning increasing compensation.  As you know, we've been successfully reducing CO2 in cement production last year for around 4.5 percentage points. And this year, it's 3% sequentially, more than 4% compared to first half last year. So it's working very well. On the second question on Vertua. In the case of Vertua, a few considerations. The first one, Vertua is a family of products and different products in the family of Vertua do have different margins. So we cannot consider that there is only one simple margin for all the family of products included in Vertua. Remember that we are including concrete and cement with lower CO2 content, but we are including also, as part of the Vertua family, products that do have sustainability characteristics or contributions like thermal contributions, meaning allowing cost structures to reduce CO2 in their development. So I can hardly say that margins are going to behave in the manner. What I can say is that Vertua in general, do have either the same or better margins than ordinary either cement or concrete products. Now for the time being, we are concentrated in the introduction of Vertua -- we started a few years ago. Last year, we managed to sell about 20% of our volumes as Vertua labeled products. And nowadays, I mean, or in the first half, it was slightly more than 30% for both ready-mix and cement. And if you remember, we do -- we recently defined the target of having half of our product portfolio of Vertua products by 2025.
Louisa Page Rodriguez: Thank you, Fernando. The next question comes from Vanessa Quiroga from Credit Suisse. Vanessa?
Vanessa Quiroga: I have a tough time choosing just one, but let me go with a little bit more forward-looking questions regarding the infra bill and -- I mean, what scenarios are you going be vary in terms of potential delays of execution of those projects, given the supply chain constraints and inflation of overall materials. And I guess is that -- I mean if imports are a buffer in case of lower volumes or lower demand in general, would that impact rising dynamics going forward?
Fernando Gonzalez: Sorry, I'm not sure I got the last part, Vanessa, can you repeat it about import volumes and prices.
Vanessa Quiroga: Yes, imports came down because demand is softer, if that would affect pricing dynamics?
Fernando Gonzalez: I see. So let me answer that one first. As Maher mentioned, most of our markets were sold out in most of our markets or in all of our markets. And the situation in those markets in most of them is that they are on allocation. So what you can expect -- and it's a robust thing. I mean it's a midterm thing. We don't think this is going to be changing in the next 3 or 4 months or meaning for the rest of the year. So imports are playing a very important role, complementing the supplies of cement into these markets.  Now what if we start seeing volumes easing, meaning the housing sector softening and the likes? Then the most natural thing to happen is for import volumes to being reduced. Does that affect pricing dynamics in the market? I don't think so. I think that considering current import -- prices of imports, allocation in the markets and solid growth in the U.S. in several markets, I don't think that will be a negative on the pricing strategy. It might be the other way around.
Louisa Page Rodriguez: I was just going to add, Vanessa, that very quickly, we don't have any change in outlook regarding infrastructure and the Infrastructure Bill rolling out next year. We're still very optimistic that it will add to volume. I would also say that the news overnight of package of the second round of stimulus in the United States having gone through the Senate, but it looks as though the Democrat at least have reached consensus around it should also be positive going forward. So in the stimulus situation in the U.S., I think looks very good right now. And now to move on. The next question comes from Nik Lippmann from Morgan Stanley.
Nikolaj Lippmann: Could you provide a bit more color on the sort of regional pricing, U.S., is a big country, sort of the Florida, Georgia market versus Texas versus the Pacific market, if you will, that would be very helpful.
Louisa Page Rodriguez: As you know, we don't provide that level of detail in terms of state by state. But let me tell you what I think it's pretty evident in terms of our pricing in the United States. Pricing for our 3 core products is up between 12% and 17% year-over-year in the U.S. As you know, in April, we had increases that represented 60% of our cement volumes that took place in the Mid-South, Arizona, Texas, Northern California. And in those markets, we saw a 9% sequential increases on average. We have additional pricing increases that we already announced in Florida for June, where 20% of our volumes are repricing and we're expecting kind of mid-single digits sequentially there.  And in July, we have implemented and we've announced additional pricing increases really for the remainder of our cement volumes, 80% ex Florida, we had announced pricing increases of around $13 a ton. So I think, in general, extremely strong pricing traction of very much a sold-out market. Just going back to, I think, an earlier question that was asked, the supply disruptions that we had in the United States, both because of the maintenance as well as disruptions to import supply represented about 11% of our quarterly volume. Those are volumes, if we had them, we would have sold them. So the issue here is the supply issue at the moment, and I just want to be very clear about that. So hopefully, that answers your question.
Fernando Gonzalez: And also, Lucy, I would also add, I mean, again, Nik, I mean you have to take a look at the percentage of total demand last year and expected this year that is coming from imports. It's a very sizable percentage of the total market. And so, that again kind of supports the hypothesis of the increasing prices and elasticity of demand for our products is very low. So we haven't seen any kind of demand disruption or softness as a consequence of the pricing and other building materials are doing the same. I mean, so it's not like we're getting more expensive compared to other building materials or other options.
Louisa Page Rodriguez: The next question comes from Anne Milne from Bank of America.
Anne Milne: My question has to do with something you mentioned in the section of the presentation where you were talking about emission reductions. You mentioned that there were a number of plants that are already operating below CEMEX's 2030 goal. I was just wondering if you could, one, give us a little bit of an update of maybe why they are? Is it the form of fuels they're using or the age of the plants or other factors? And maybe just an update on your initiatives outside of Europe where you're most active right now in the reduction of emissions or alternative fuels?
Fernando Gonzalez: Okay. Thanks for the question. Yes, 8 plants are ready with -- generating less than 475 kilos per ton of sanitation materials, that is our target for 2030. And not all of them are in Europe. I think it's about half of them in Europe and the rest in Mexico and other countries. If you remember on the elements of our strategy and the reason I'm addressing this is because there is not only one reason. Given that we are already introducing lower carbon content products in the market, again, I mentioned 30% already in our way to increase it to 50%, then that allow us of composite cement with lower clinker factor. And of course, with a lower clinker factor means lower CO2 content per ton of cementitious meaning adding more pozzolans, limestone, slag, fly ash, whatever the material that we can use with cementitious properties. So let me explain one example.  In the case of the U.S., the norms on products are completely different than the ones that do exist in Europe. So it's been kind of in the last few years that the rules have been adjusting considering this type of composite cement for most type of works U.S.-wide -- and that's why, for instance, in our case, we have already adopted 6 out of our 8 plants to produce limestone cement, allowing us for the first time to reduce clinker factor in the U.S., and this is norm-derived opportunity. So that's one example. The other example is that we do continue doing progress, and I'm very pleased with the progress we have done in the use of alternative fuels. We are increasing alternative fuels already up to 33% -- around 33% worldwide. That's an increase of about 5 percentage points. For a year, it is the first time that we increased 5 percentage points in a year. And we are, as I think Lucy mentioned, in the case of Europe, for the first time during second quarter, we went as high as 70% of alternative fuels, which on top of being very helpful financially, as you can imagine, alternative fuels, particularly RDF, which is household and some other residues from other industries are detached from the primary fuels dynamics. So it's been very convenient. And on the other side, we are using this type of alternative fuels, not only for as a fuel -- but in the case of Germany, which is one of the concerns with all these geopolitical issues and energy risk in the case of Germany, 90% of electricity consumed by our Rudersdorf plant is coming from waste to energy plant. It's been there already for a number of years, meaning reducing risks related to reduction of gas supplies to Germany in our case. So it's lower clinker factor in some countries, much higher use of alternative fuels with high contents of biomass, Also, we are increasing -- that's sort of an effort that we've been pushing very hard in the last couple of years is increasing the carbonated raw materials instead of limestone. There is an opportunity there to increase those decarbonated materials and increasing the use of renewable energy. Very pleased to say things like in Mexico, our alternative fuel consumption is very high, and we are consuming the equivalent of 15% of waste produced by Mexico City, or in the case of Europe, I already mentioned 70%, that's equivalent to consume the waste produced by a city like Berlin in a year. So this is to highlight the contribution that our industry can do in a circular economy and how economically convenient, a circular economy can be in our industry.
Louisa Page Rodriguez: The next question comes from Yassine Touahri from On Field Research. Yassine?
Yassine Touahri: Yes. Can you hear me?
Fernando Gonzalez: Yes, yes,
Yassine Touahri: So I would have just one question on your imports. Could you let me know what is the proportion of your U.S. cement sales that are imported as a percentage?
Louisa Page Rodriguez: I think, Fernando, the question was what percentage of our U.S. cement sales are imported.
Fernando Gonzalez: The number I have in your memory is like it's around 30%.
Maher Al-Haffar: Yes, it is Fernando. For the second quarter, around that level.
Louisa Page Rodriguez: Okay. And we have time now for one more question. The next question comes from Franco Suarez from Scotiabank.
Francisco Suarez: It's very helpful the color that you're sharing today. The question that I have relates with your overall comments on pressures related with logistics, the higher use of trucks rather the cheaper sources of shipping cement. Do you think that you need to implement more CapEx in, say, ground terminals, multimodal terminals to overcome this feature? Is that actually needed or perhaps is just something that because of the disruptions eventually will fade out, and you will not need to enhance in any way your overall terminals and your -- all the logistics side of your -- to make sure that these additional costs are not permanent?
Fernando Gonzalez: Thanks, Franco In some cases, there are certain investments because of the way the market has been evolving, meaning debottlenecking or expanding terminals, maritime or land terminals like, for instance, the expansion we did in our terminal in Dallas, Texas. We almost doubled the capacity to bring cement from our Balcones plant to that market. So those are investments that are regular investments in order to cope with the way demand has been evolving. Now the main issue that is impacting us is other type of supply chain disruptions like, for instance, domestic railroads in the U.S., they are having issues the same than the issues we had with -- I referred to some supply chain issues on our exports from Mexico to the U.S. and all of those issues are related to railroad in Mexico, which, of course, it's been improving and improving as we've seen in the last few days and weeks.  But in those situations, there is very little you can do except for try to work together with railroads and use alternative transportation means, which, as you can imagine, are more expensive. But our industry is no different towards the industries is going through material supply chain disruptions. We've been requesting, for instance, in advance changes in our procurement practices. We are requesting, in advance, mobile equipment that we think we need to replace. But meaning well in advance, not 3 or 6 months, a year or even more. So those are the type of disruptions that we are dealing with.
Louisa Page Rodriguez: We appreciate you joining us today for our second quarter webcast and conference call. If you have any additional questions, please feel free to contact Investor Relations, and we look forward to seeing you again on our third quarter results webcast. Many thanks.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.